Operator: Good day, ladies and gentlemen and welcome to the Silvercrest Asset Management Group Inc.’s Fourth Quarter and Year-End 2014 Earnings Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. Before we begin, let me remind you that during today’s call Silvercrest will make forward-looking statements pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts, including statements regarding future events and developments, and Silvercrest’s future performance, as well as management’s current expectations, beliefs, plans, estimates or projections relating to the future, are forward-looking statements. These forward-looking statements are only predictions based on current expectations and projections about future events. These forward-looking statements are subject to a number of risks and uncertainties, and there are important factors that could cause actual results, level of activity, performance or achievements to differ materially from the statements made. Among these factors are: fluctuations in quarterly and annual results, incurrence of net losses, adverse effects of management focusing on implementation of a growth strategy, failure to develop and maintain the Silvercrest brand and other factors disclosed in the Company’s filings with the SEC, including those factors listed under the caption entitled, Risk Factors, in the company’s Annual Report on Form 10-K for the year ended December 31, 2013 filed with the SEC. In some cases these statements can be identified by forward-looking words such as believe, expect, anticipate, plan, estimate, likely, may, will, could, continue, project, predict, goal, the negative or plural of these words, and other similar expressions. These forward-looking statements are predictions based on Silvercrest’s current expectation and its projections about future events. All forward-looking statements made on this call are made as of the date hereof, and Silvercrest assumes no obligation to update these forward-looking statements. Now, I would like to turn the call over to Mr. Rick Hough, CEO. Please go ahead, sir.
Richard Hough: Thank you very much. Silvercrest successfully obtained meaningful new assets contributing to firm’s organic growth for the fourth quarter ending December 31, 2014 along with increased revenue. Our fourth quarter represented the sixth straight quarter of positive organic growth generated by our new ultra-high net worth and institutional business. And it’s actually the 11th out of 12 quarters with positive organic flows to the firm. The firm’s relationships importantly increased to 538 as of December 31, 2014 up from 483 as of December 31, 2013. The firm’s total assets under management increased to $17.9 billion as of the year-end from $16.4 billion as of the third quarter of 2014, and up from $15.7 billion as of year-end 2013. Of that total, discretionary assets under management, which you may recall drive revenue grew to $11.6 billion as of December 31, 2014 from $10.1 billion as of December 31, 2013. We are quite pleased with the execution of our firm’s business strategy, including the pace of continued organic growth in our high net worth business, strong institutional asset management growth and the increased visibility of the firm’s prestigious brand. With that, I’ll turn the financials over to Scott, and then we’ll be taking questions.
Scott Gerard: Thanks, Rick. As you may have read in our earnings release for the fourth quarter and year-end, discretionary AUM as of December 31, 2014, just to emphasize, was $11.6 billion and total AUM as of December 31, 2014 was $17.9 billion. Revenue for the quarter was $17.7 million and reported consolidated net income for the quarter was $2.7 million. Again, as a reminder, please keep in mind that the results of operations and cash flows for the year-ended December 31, 2013, include those results of operations and cash flows of our accounting predecessor, Silvercrest L.P. Commencing with the third quarter of 2013, we began reporting earnings attributable to Silvercrest Asset Management Group Inc., which represents our Class A shareholders. Also commencing with the third quarter of 2013, we began reflecting partner incentive payment accruals as compensation expense. Historically, these incentive payments were recorded as distributions when paid. Looking at the quarter, again, revenue for the quarter was $17.7 million, representing approximately a 3% increase over revenue of $17.2 million for the same period last year. This increase was driven primarily by growth in our management and advisory fees as a result of increased AUM. Expenses for the fourth quarter were $14.9 million, representing approximately a 3% decrease from expenses of $15.4 million for the same period last year. This decrease is primarily attributable to decreases in general and administrative expenses of $0.6 million. G&A decreased primarily because in the fourth quarter 2013 a charge was taken for payments to be made to a relative of our former CEO. Reported consolidated net income was $2.7 million for the quarter, as compared to $4 million in the same period last year. Reported net income attributable to Silvercrest or the Class A shareholders for the fourth quarter of this year was $1.1 million or $0.15 per basic and diluted Class A share. Adjusted EBITDA, which we define as EBITDA without giving effect to equity based compensation expense and other non-recurring items, but inclusive of the effect of partner incentive payments was approximately $5.8 million or 32.5% of revenue for the fourth quarter, compared to $4.5 million or 26.3% of revenue for the same period last year, meaning 2013. Adjusted net income, which we define as net income without giving effect to non-recurring items, but inclusive of the effect of partner incentive payments and income tax expenses assuming a corporate tax rate of 40%, was $3.1 million for the quarter or $0.25 per adjusted basic and diluted share. Adjusted earnings per share is equal to adjusted net income divided by the actual Class A and Class B shares outstanding as of the end of the reporting period for basic adjusted EPS and to the extent dilutive we add unvested deferred equity units and performance units to the total shares outstanding to compute diluted adjusted EPS. Looking at the year, revenue for 2014 was $69.5 million representing approximately 16% increase over revenue of $60.1 million for the same period last year; again this increase was also driven primarily by growth in our management and advisory fees as a result of increased AUM. Expenses for the year-ended December 31, 2014 were $54.2 million, representing approximately a 24% increase over expenses of $43.5 million for the same period last year. This increase was primarily attributable to increases in comp and benefits expense of $10 million and increases in G&A expenses of $0.7 million. Again, the increase in comp and benefits expense for 2014 compared to 2013 is primarily as a result of the recognition of partner incentive payments as expense upon the commencement of our IPO. G&A expenses increased primarily as a result of increased occupancy expense due to a reduction in sub-tenant rental income and an increase to the provision for doubtful accounts because of higher revenue level we increased our reserve. Reported net income was $10.7 million for the year-ended December 31, 2014 as compared to $17.2 million in the same period last year. Reported net income attributable to Silvercrest or the Class A shareholders for the year-ended December 31, 2014 was $4.8 million or $0.63 per basic and diluted share. Adjusted EBITDA was $21.1 million or 30.4% of revenue for 2014 compared to $17.3 million or 28.8% of revenue for 2013. Adjusted net income was $10.7 million for the year-ended December 31, 2014 or $0.87 per basic adjusted EPS and $0.86 per adjusted diluted EPS. Looking at the balance sheet, total assets were $99.7 million as of December 31, 2014 compared to $100.7 million as of December 31, 2013. Cash and cash equivalents were $30.8 million at the end of 2014 compared to $27.1 million at the end of 2013. Notes payables $4.1 million at the end of 2014 and $8.3 million at the end of 2013; just to note as of December 31, 2014, we paid off our revolving credit balance of $3 million with Citi National Bank. As of the end of 2013, we had $3 million outstanding on this facility. Total stockholders’ equity was $42.5 million at end of 2014. That concludes my remarks, so I’ll turn it back over to Rick for Q&A.
Richard Hough: Thanks, very much. We’ll be prepared to take questions at this time.
Operator: Thank you. [Operator Instructions] Our first question comes from Michael Kim with Sandler O’Neill. Your line is open.
Richard Hough: Good morning, Michael.
Michael Kim: Hey, Rick. Good morning. Just first, I think, last quarter you’ve talked about the flows being a bit more skewed towards the high net worth business just given maybe some rebalancing that impacted the cash flows on the institutional side. So just curious, if you could talk a bit about the underlying mix this quarter and sort of any potential impact from lingering, rebalancing?
Richard Hough:
-: During the quarter, we had performance, as you would expect that contributed. And overall institutional and sub-advisory assets actually increased to $115 million, as a result of that. So, really very little movement on the institutional side, but that is a result of some outflows.
Michael Kim: Got it. And then maybe just to follow up on the institutional business, any comments or color in terms of what you are seeing on the RFP side or win rates or sort of allocation trends more broadly and…
Richard Hough: Sure, sure.
Michael Kim: …maybe the uptick for some of your strategies beyond this market product or you mentioned the sub-advisory side as well?
Richard Hough: Absolutely, so and thank you for mentioning this sub-advisory side. I think, we mentioned certainly in the third quarter call, I may have mentioned it in the second quarter call that we were increasingly looking for sub-advisory relationships, because those are pools of assets that have the potential to continue growing at a meaningful pace, as opposed to place to mandates, which are more likely to be static and even potentially rebalance, as you have good performance, as we’ve experienced.
-: I haven’t given those numbers before, so it’s hard for you perhaps to compare it to our pipeline. Previously, I would say, it’s larger than our previous pipeline, which is very good. And given the continued performance of our capabilities and our relationship in the marketplace now that’s well established, I think we’ve doubled institutional assets over the past couple of years. We’re going to get a good share of that. So we’re excited about the possibilities in that business.
Michael Kim: Okay. Just to clarify that the $2 billion number that you just mentioned that sort of….
Richard Hough: I said between $1 billion and $2 billion shading towards to, that’s kind of an actionable potential pipeline, if you were to win at all.
Michael Kim: Gotcha.
Richard Hough: I would say which isn’t going to happen.
Michael Kim: Yes, understood.
Richard Hough: But it gives you some idea of the number of searches that we’re potentially in over time. And I’m not going to give that number regularly, I just happen to know it right now. What I will tell is, I have each quarter is, whether the pipeline looks robust and how it compares to the past and this is very robust.
Michael Kim: Understood. And then maybe just frame the potential impact, any sense of historical win rats, as you think about in the context of that pipeline.
Richard Hough: I’m not going to give a historical win rate for that pipeline. Our win rates are very good, but that would require granularity, I don’t have into the full pipeline.
Michael Kim: Okay, fair enough. Then maybe just couple for Scott, it looks like the fee rate moved a bit lower this quarter, can you just maybe talk about some of the dynamics that drove that and sort of the outlook going forward?
Scott Gerard:
-:
-:
Michael Kim: Okay. I was looking at the discretionary and maybe it’s more of a rounding error, but we can take that off-line. I guess, final question…
Richard Hough:
-:
Michael Kim: Understood. And then just lastly, any updates on plans to potentially grant equity awards and how that might impact some of the outlook for compensation expense and margins more broadly?
Richard Hough: Yes, as far as the 2012 equity incentive plan, we’re in the midst of evaluating the most appropriate way to formally implement that plan. So at this point in time, I really can’t provide anymore color other than that. I will say, we do intend to make meaningful grants this year. My partners, including myself and Scott and others know that that plan is there to compensate us for the job well done. We feel like we have executed on our strategy in a number of areas and done so well with very smooth compared to our peers. And given that we have not made those awards and they’ve been out there for two years, and they are expected to last four, or five years when we are on the road, we would expect to make an allocation. We are going to do so in a way that looks after all shareholders, after all we are as well, in terms of their impact on earnings. But I would expect to see them come out and they are going to come out soon or rather than later, let me put that way.
Michael Kim: Got it. Thanks for taking all my questions.
Richard Hough: Sure, sure, no problem.
Operator: Thank you. [Operator Instructions] We have a follow-up from Michael Kim with Sandler O’Neill. Your line is open.
Richard Hough: Hi, Michael.
Michael Kim: Thanks, guys.
Richard Hough: Why don’t we have a nice conversation?
Michael Kim: Okay, I’ll jump back in couple more. I guess, I think typically there is a bit of a seasonal step up in G&A expense in the fourth quarter. So just wondering if there was a sort of that same impact this time around and just maybe some color on the outlook going forward?
Scott Gerard:
-:
Michael Kim: Right, okay.
Richard Hough: So Michael, this is Rick, of course. Conversation is always better than questions and I have a few things on my mind as a result of 2014 being put to bed. From our perspective we told the market a year-and-a-half ago, we came out in June of 2014 that we would execute a strategy based on four things: continued growth in the high net worth business; growth in the institutional business; acquisition, whether that’s talent acquisition or other enterprises in new geographies; and fourth, building of our prestigious brand and visibility. I think our brand’s visibility; its role in the marketplace; the firm’s visibility to peers as well as our high net worth audience certainly in institutional market is undoubtedly great. Almost no matter how you look at it, we’re in more searches, consultants are more aware of us. We’re in more media mentions and appearances. Our own website traffic is higher et cetera. And I’m increasingly invited to industry events to present to other firms and talk about the business which I take also as a sign of the firm’s visibility from our peers. I think that’s going well. High net worth business has grown steadily. It’s contributed at least half our growth. We have had very few bumps compared to comparable firms in the marketplace. And I foresee steady growth. In fact, the growth organically has been smoother than usual. I’ve always warned loud in other quarter where we’re contributing organic growth and it’s usually much lumpier, just because of the nature of those relationships. And as you well know, second quarter often our clients have to pay taxes for example, so there’s always going to be a drag around that time. Otherwise, it’s hard to predict what’s going to happen in what quarter. Institutional business has grown substantially and the pipeline remains robust. We’re very proud of what we’ve accomplished as a company. The third acquisition piece I’ve talked about in past calls and haven’t mentioned in this one. We opened a Richmond office and acquired talent there, that’s proceeding well in the marketplace and continues to grow. So we’re excited about the Virginia regional presence that we’ve made there. That’s one form of acquisition. The next form, of course, is accretive deals with other compatible businesses and cultures, and most importantly cultures. It’s not just a financial transaction for us. And as I mentioned in the past two calls, we’ve been in more discussions the past year than probably in the past five previous years and that’s in part due to our increased visibility. As much as I like the organic growth and we had also markets at our back, we know we want to execute on that strategy and get closer to our clients and/or build out our presence in the New York area. And I would expect for the next period of time that there will be action on that side. We haven’t done a deal on a couple of years. It’s not unusual so we do them every two to three. But given the level of discussions, as I mentioned previously, given our growth strategy, that may be something of a story for Silvercrest over the next year.
Michael Kim: Got it. That’s helpful. Just one last question, any color or commentary on sort of the strategies that may have driven the performance fees in the fourth quarter and then just how you’re thinking about the potential going forward.
Richard Hough:
-:
-:
Michael Kim: Got it. Thanks for taking all my other questions.
Richard Hough: Sure, no problem.
Operator: Thank you. [Operator Instructions]
Richard Hough: Okay. Thank you very much. We appreciate you joining the call.